Operator: Greetings and welcome to the LSI Industries Fiscal First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Jim Galeese, Chief Financial Officer. Thank you sir, you may begin.
Jim Galeese: Good morning, everyone. We issued a press release before the market opened this morning, detailing our fiscal first quarter results. In conjunction with this release, we also posted a conference call presentation in the Investor Relations portion of our corporate website at www.lsicorp.com. Information contained in this presentation will be referenced throughout today’s conference call. I would like to remind you that management’s commentary and responses to questions on today’s conference call may include forward-looking statements about our business outlook. Such statements involve risks and opportunities and actual results could differ materially. I refer you to our safe harbor statement, which appears in this morning’s press release as well as our most recent 10-K and 10-Q. Today’s call will begin with remarks summarizing our fiscal first quarter results. At the conclusion of these prepared remarks, we will open the line for questions. With that, I’ll turn the call over to LSI President and Chief Executive Officer, Jim Clark.
Jim Clark: Thank you, Jim. Good morning, all and thank you for joining today’s call. As you have likely seen from our press release issued earlier today, we have several things to talk about and I would like to jump right in to give you some additional details. Let me first note that despite uncertainty around the general marketplace and overall market activity, which has been hampered by COVID, we have found a number of ways to adjust to the conditions, while remaining competitive and committed to the transformation and ongoing improvements of our business. Employee safety remains at the forefront of our plans and actions. Although COVID is no longer new, it is something we continue to deal with daily. We remain committed to assuring a safe environment for our employees, our partners, customers and suppliers and in finding ways to continue to be effective and adoptable. Now, jumping into the business, although lighting sales were down for the quarter, I am encouraged that we have seen little to no project cancellations. Construction activity continues to fluctuate depending on the region in various COVID [indiscernible], which has caused some delays in our committed project book, but again no notable cancellations. On the other side of that coin, we have seen a market increase in requests for short lead time projects and competitive conversions. Our U.S. based manufacturing and our previous work in diversifying our supply chain over the last year is allowing us to respond to a number of these short lead time inquiries and we are working hard to convert and accommodate as many of these opportunities as possible. I would also like to note that our average daily quote activity continues to increase, along with a month-over-month sequential improvement in our order rate throughout the first quarter. We are continuing to see that phase improve in the second quarter. As we mentioned now for some time, we made a purposeful decision over a year ago to move away from price sensitive, highly commoditized business and focus instead on markets where we can differentiate ourselves and our products. This commitment to higher value market-based approach is demonstrated in a 290 basis point gross margin improvement for the quarter, bringing our lighting margins to our highest level in years. We have been laser-focused on key vertical markets, including petroleum, automotive, grocery farmer, QSR, warehousing, transportation and sports court lighting. We celebrated some notable wins in lighting in the last quarter, including two outdoor projects for the world’s largest e-retailer and several early stage projects in our automotive vertical. Our automotive projects are focused on whole site approach we are providing the complete lighting a solution from lot to showroom, showroom to service area and everything in between. In many cases, we are working directly with the auto manufacturers to develop specifications, which are then rolled out to the individual dealers assuring consistency and uniformity in their lighting. We are excited by the momentum we are gaining here in the possibilities ahead. In our stock and flow business primarily [indiscernible], we have seen a strong recovery in Q1. Distributors that had been de-stocking in the fourth quarter and through part of the first quarter have come back strong. We are encouraged at the improved order rate and inquiries. Atlas is in the process of rolling out two additional brands and products creating a new opportunity on the value side of the business and we are excited to see where that will go. From a commercial activity standpoint and in the absence of trade shows and in-person customer and agent engagement, we are investing in a number of sales and marketing related activities that develop leads for our partners and our agents and increase the overall awareness of our solutions in our target vertical markets. Just last month, we introduced a new website and populated it with a slew of case studies in collateral material for our partners. We are investing in increased advertising in our focus vertical markets and we remain committed to the introduction of new products. In 2020, we added 20 new products and in 2021, we intend to introduce even more. Our product marketing team, along with our engineering team, has in fact shortened our standard development time by more than 30%. In the design of new products, they are assuring ease of manufacturing, maintaining quality, and looking for ease of installation and service. This is a real win for our customers, partners and for our overall competitiveness in the market place. It underlines the investments we are making in the business to compete on an entirely different level. Turning our attention to graphics, I am happy to say we are near pre-pandemic levels with sales in Graphics, just 4% below prior year. Our pipeline remains strong on the petroleum side, with several new projects in various stages of development. Our business in Mexico is recovering nicely as installation and government approvals continue to increase. We are showing growth in our grocery and pharma space, including a couple of re-branding projects and in new store openings for two large grocery chains. This business makes good use of our facilities and operational improvements in both Houston, Texas and Akron, Ohio. I have talked previously about expanding our share of wallet in our existing verticals and I would like to comment on the projects we are working on this quarter. Recently, we were awarded a multi-million dollar product and services contract from one of the world’s largest petroleum retailers. In Q2, we will produce ship and manage the installation of a digital wallet contactless pay at the pump solution for approximately 11,000 U.S. locations. This project utilizes LSI’s digital print technology, logistics and project management capabilities to install an innovative near-field communication and QR Code solution allowing customers to use their smartphones to pay at the pump in a contactless fashion. This project has been in the work for some time and we are proud to have been selected as the right partner for this program. Lastly, I want to talk about our strategy going forward. Our goal is to be a $500 million company with double-digit EBITDA in 2025. Our path forward is designed around four elements: number one, expand or increase our vertical market presence. We do better and deliver higher value when we focus: number two, change our customer engagement, that means creating a higher level of commercial awareness of our products, services and solutions and developing more qualified leads for our agents and our partners; number three, build our services business. We have a great opportunity here and we will have more success stories to share around that; and number four, accelerate our growth through acquisitions. This path forward is outlined in greater detail in our investor deck, which can be found on our website under the Investors section. If you have not seen it, I encourage you to go take a look. Despite the challenges of the current environment, I am encouraged by the momentum and energy we have been able to develop. We are in a strong financial position with nearly $85 million of immediate liquidity available. We remain focused on improving and growing our business both organically and through M&A and I am confident our best days are ahead of us. Thank you again for your time and interest in LSI. With that, I will turn the call over to Jim Galeese for comments on our financial performance. Jim?
Jim Galeese: Thank you, Jim and good morning everyone. I will start by highlighting key financial statistics for the fiscal first quarter. Sales were $70 million, improving sequentially from Q4, but below prior year as projected. Net income was $2 million compared to net income of $4.5 million in the fiscal first quarter of last year. It’s important to note that prior year first quarter results include a non-recurring pretax gain of $4.8 million resulting from a facility sale. On a non-GAAP basis, adjusted net income increased 29% to $2.1 million versus income of $1.6 million in the same period last year. Earnings per diluted share were $0.07 versus $0.17 in the first quarter of fiscal ‘20, non-GAAP earnings per diluted share were $0.08 versus $0.06 per share in Q1 last year. Adjusted EBITDA was $4.7 million were 6.8% of sales, 90 basis points above last year. Our complete reconciliation of first quarter GAAP and non-GAAP results is contained in our press release and 10-Q. The company generated $7.2 million of free cash flow in Q1 exiting the fiscal first quarter with total cash balance of $9.5 million, along with $75 million availability on the company’s revolving credit facility. The company had no long-term debt at the end of the first quarter. The improved liquidity provides the capital allocation flexibility to invest in the key initiatives which support our strategic priorities. Regular cash dividend of $0.05 per share was declared payable November 17 to shareholders of record on November 9.  Moving to our two reportable segments, the Graphics Segment experienced a sharp rebound in the first quarter with sales approaching pre-pandemic levels, sales decreased 4% strictly the result of ongoing project schedule delays. Market activity remains favorable as commitments for the 6 major multiyear programs with petroleum C-store companies remain in process and largely unchanged. Growth continues in Mexico with sales increasing 88% year-over-year in the first quarter. New business development activity remains high with our teams working closely with multiple companies on potential programs. Year-over-year, Graphics sales growth is projected for the next several quarters. Adjusted operating income increased significantly for the Graphics Segment with first quarter, first quarter income of $1.9 million versus $1.1 million in the prior year. Leverage generated by our improved Graphics cost structure contributed to the results. Shifting to lighting as projected to pandemic driven slowdown and lower project backlog exiting the fourth quarter resulted in lower first quarter sales. Quotation and order activity increased steadily throughout the first quarter, generating an increased backlog entering Q2. Distributor stock and flow activity also increased significantly from the fourth quarter, evidence that the distributor de-stocking has stabilized and market activity is improving. Two major lighting product programs were approved in Q1 including a development program for a new architectural fixture range, representing one of the many new products to be launched in fiscal 2021. The adjusted gross margin rate trend for lighting continues to improve increasing 290 basis point to 30.5% a combination of the ongoing impact of our focus on higher value market applications, new products, design cost reductions, and manufacturing efficiencies. First quarter lighting adjusted operating income was $3.7 million, increasing to 8.1% of sales, an improvement of 90 basis point compared to Q1 last year. I will now turn the call back to the moderator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Amit Dayal with HC Wainwright. Please proceed with your question.
Amit Dayal: Thank you. Good morning, everyone. Really strong results. It is better than expected. Last quarter you had commented that the fiscal first quarter could be the weakest for the year. Do you still maintain that view?
Jim Clark: Amit, good morning, Jim Clark here and thanks for joining the call today. Yes, I mean I think that our comments on the last call we’re particularly in comparison to our Q1 last year, we had a very strong quarter. We knew coming into Q1 this year that we had projects that we’re pushing and we’re still experiencing that as I mentioned a minutes ago, they’re not canceling, there is a number of challenges, COVID flare-ups permitting in electrical permits, inspections and just general labor on some of the construction sites on some of the projects we’ve been on, have held up some of that, some of the order flow out the door at the orders have remained committed, but we just haven’t been able to get better, the customers haven’t wanted the product yet. Typically, Lighting goes in, so later in the project cycle. So, we feel very confident that there aren’t going to be any cancellations because most of the work is normally done by the time we’re getting lighting on site, but we did feel like this Q1 was ended up about where we thought it would be.
Amit Dayal: Understood. And then just moving on to this new digital wallet product it seems it sounds really interesting. If is this a similar business model to your other products or do you also have maybe some recurring revenue component over here and do you believe there could be other opportunities with deployment of a similar solution for other customers or you within the same customer for more facilities?
Jim Clark: I’m sorry. You cut out on the first part of that question, so I didn’t hear what you were referencing?
Amit Dayal: Yes, the digital wallet product.
Jim Clark: Okay, very good.
Amit Dayal: Yes. Just wanted to see if that is, whether it’s one-time sale or is there may be a recurring revenue component to this offering and what are the opportunities for the deployment of the solution?
Jim Clark: In our digital menu side of things, we do have a recurring revenue model associated with that updates, maintenance services that type of thing and recurring revenue is something that we are definitely focusing on building, continuing to build out. This digital wallet solution will not have any recurring revenue associated with it, but we do see it as a potential opportunity, particularly over the next year, many of you may know, the EURO Visa Mastercard payment system or chip system in the credit cards, is required by mid-April or so of 2021. The credit card companies get to move a lot of liability back to merchants that do not install new card readers or have multi-factor authentication systems in place. So there is an incentive for a lot of companies, particularly in the spaces we play, whether it’s grocery and pharma retail, petroleum, etcetera to have alternative payment methods. We use our Graphics group in this particular case through the digital wallet to have both near field communications capability and a QR code capability will allow things like Apple Pay and Google Pay to support both Android and Apple phones. So, we see this, this demonstration of being able to roll out 11,000 locations and a fairly short amount of time. This could be something that creates opportunity for us going into the next couple of quarters. And, it’s particularly important right now where you’re getting contactless payment type option. There is no exchange of cards. There is no keypads to press. You using your own digital product that your mobile phone to make the payment. So, there is no recurring revenue component to it, but it could be something that we continue to delivery here over the next few quarters or longer.
Amit Dayal: Understood. Yes, I’ll take my other questions offline. Thank you so much.
Jim Clark: Thank you. Thank you for taking the time. Be on the call today.
Operator: Thank you. Our next question comes from the line of Craig Irwin with ROTH Capital Partners. Please proceed with your question. 
Craig Irwin: Hi, good morning. Can you maybe talk a little bit about the specific products that are higher margin in the Lighting Segments that are driving the gross margin gains, if this couple of products or group of products and is this a continuation of what we saw in the prior quarter and we are sort of the upward ceiling on the benefit from [indiscernible] do we get to the mid-30s, any color would be helpful?
Jim Clark: Yes. Good morning, Craig and thank you for being on the call, we always appreciate hearing your voice. The products are typically project related in their outdoor oriented. We have a full product solution indoor, outdoor and when we usually combine those we do very well from a margin standpoint. I think we are, we got lost a few years back was when we focused, we started overwhelming our manufacturing with lower priced indoor as is our lead, when we have a project that has a combination of indoor and outdoor, we can move that margin we in those products, we are looking for optical control, we’re looking for cut off, we’re looking for things that we believe customers value, they aren’t found in the commoditized products. So, the more we are involved in those projects in the more disciplined on the very cost buy type projects to better we do. I do think that the mid ‘30s are possible. I think that probably our improvement rate will slow slightly from a quarter-over-quarter as we start to get a closer and closer to those mid ‘30s, but it is very happy to get into the ‘30s and I think looking back, it’s one of our best positions from a margin standpoint we have had in lighting in quite some time.
Jim Galeese: Yes. Hi, Craig. Jim Galeese here. I will comment on that as well. We’ve been working hard to move our margin rates forward. We are very pleased with where we are at. There have been multiple levers contributing to that, probably the largest being the movement to higher-margins applications, but also our 20 new products that we launched last year we have seen some nice design, cost savings, and then of course the actions we have taken to right-size our manufacturing fixed cost footprint all contributed. So, our objective is to continue to drive that continuous improvement, continue to work all those levers, and we want to keep moving the lighting gross margin rate forward continuously and looking at it on a year-over-year basis.
Craig Irwin: Excellent. Next question I wanted to ask was about the two parking lot projects you mentioned in your release that we did put the world’s largest e-tailer, I guess we can assume that’s Amazon. Did you do those directly for Amazon or we know that most of their warehouses and distribution facilities are actually under lease where Prologis is the provider of the assets, and they basically just paying rent, right. Was this done for Prologis or for Amazon, and what sort of a tempo can we expect here because you know Prologis is in the process of retrofitting a large number of prior facilities and building many more new facilities, and can you maybe just comment if you see more of an opportunity there on the new facility side or the retrofit side?
Jim Galeese: So, the answer to both of those is yes, we do see an opportunity both in the retrofit and in new facilities. These two particular projects were a combination of our partners in the property owners, but certainly a lot of input from the end-use customer. In fact, we believe it was that influenced in the ability to kind of articulate the performance of the lights. Here is a good situation, here is a good underlying a good example of just kind of light cut off, light pollution, and being able to articulate the performance of the lights, not just in terms of how we were able to do to light the facility in the locations, in the loading docks, in the parking lot, but also to be a good neighbor and make sure we’re not having that kind of like lead over into other locations and that type of thing. I think there is a certain segment of customers and this customer being one of them, they can appreciate being a good neighbor and making sure that they’re getting the performance that we’re – that we’re committed to delivering. So, I do think that – that story will continue to resonate and it is something we’re trying to demonstrate by doing as opposed to saying and we are trying to leverage these two success stories into a bigger opportunity.
Craig Irwin: Do you have any adding business in backlog for execution in the December quarter from the same customer?
Jim Galeese: I don’t want to comment on that right now, but the backlogs up I will say – I’ll say that but, I just to respect the process and stuff I don’t want to say any specifics about this customer or anything.
Craig Irwin: Okay, okay excellent. So then, just to circle up on the QSR, the large QSR program that you mentioned as well both in your prepared remarks and in the release, the $100 million program you announced in July. You said in the release, that orders doubled or more than doubled which is really good news, it’s nice to see the Graphics business getting some good momentum here. What is the approximate timeline for completing the full $100 million in scope there, does this mean that $100 million may be going a little faster, that we are really looking at a low single digit number of years, what can you share with us for us to understand sort of how this supports LSI’s graphics business over the next few years?
Jim Galeese: Yes, right now I mean from a schedule standpoint, we are anticipating two years remaining in the schedule but I will say that the success we have had and the traction we are getting is creating additional opportunities, it might be a little premature to say too much right now but we believe there is –a significant piece of follow-on business that we have been in discussions with for some time, we have done demos of our proposed solution and proposals in front and we believe we have a pretty strong position, we’re in our proposal and their request and it might be a little premature to say anything right now. But we see that just with this single customer, two year run on the initial project from July in likely a follow-on orders and I am sure I will be able to comment about them in the coming quarter.
Craig Irwin: Okay, excellent. And then last question if I may, there were some obvious lessons learned at LSI from the acquisition of Atlas and some of the missed steps there, now that your balance sheet isn’t just much better condition than it has been for the last few years. It looks like you’re in a position where you could potentially move opportunistically if something was a good fit with the LSI brand and LSI group of assets. How either are you to complete an acquisition here and what are the basic characteristics you’re looking for in acquisition candidates today?
Jim Galeese: Okay. Well, first of all, I am not going to debate that we had some missteps initially with Atlas. But we’re very happy with Atlas and I think they’ve done a great job, I comment around a little bit, but their recovery here in Q1 has been significant and they are gaining some momentum. In fact, I will just mention that they have a refreshed product offering in their independent series and they are bringing our whole another category online, which we will talk about next quarter. Our plans are definitely to grow organically and through acquisition. As Craig, you have been in this for a long time acquisitions we have – we have some things that we think would fit well but those folks may not be ready to move. We have some things where we – we think that we could a partner up in a way that might be different and it’s really getting that story out and getting those folks to get on board with us. Right now, I think that what we’re doing is we are filling the top of the funnel with a number of different targets and as, you put a lot in the top in only a few come out the bottom. So, we do plan on being very opportunistic and we are also not just locked into what people might consider traditional core lighting solutions. We’re looking at adjacencies. We’re looking at things where we can offer a broader solution and get a better share of wallet with the customers, where we have that domain expertise, that’s why vertical markets tend to be so important to us. We can go in and have a different conversation with our customers, then just being a manufacturer product supplier. And as you have seen too, I just mentioned, services is becoming a bigger piece of our value equation to our customers.
Craig Irwin: And just a point of clarification, am I correct in the assumption that you’re much more likely to complete an acquisition for the Lighting side of your business rather than the Graphics side or do you kind of see equal potential for accretive growth in both of these sides of the house?
Jim Galeese: I see opportunities in both, if you look at traditional print graphic or digital graphics, probably not on our list. But if it’s things that augment that like digital signage was something that we think there is a lot of expansion in whether it’s maybe additional structure or services, audio communications, things like that within the Graphics group are attractive to us and our things we’re looking at. And then from a lighting perspective, we want to bring on things to continue to add to our portfolio and the solution set to our customers, but we want to be careful about getting into just me-too products or commoditization.
Craig Irwin: Understood. Congratulations on the progress this quarter, impressive results.
Jim Galeese: Thank you, Craig. Thanks for the time too.
Operator: Thank you. We have reached the end of our question-and-answer session. I’d like to turn the call back over to Mr. Clark for any closing remarks.
Jim Clark: Thank you, operator. I just want to thank everyone again for taking the time. I realize it’s a busy time of the year. There is a lot going on. We are very happy with the progress we continue to make it LSI, we are always open if you have any specific questions or one-on-one that you’d like to have, please don’t hesitate to contact us. In the meantime, thank you very much and we’ll look forward to talking to you next quarter. Take care.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.